Operator: Good day and welcome to the NewMarket Corporation Conference Call and Webcast to review the Third Quarter 2023 Financial Results. [Operator Instructions] I would now like to turn the floor over to your host, Bill Skrobacz. The floor is yours.
Bill Skrobacz: Thank you, Kelly and thanks to everyone for joining me this afternoon. As a reminder, some of the statements made during this conference call maybe forward-looking. Relevant factors that could cause actual results to differ materially from those forward-looking statements are contained in our earnings release and in our SEC filings, including our most recent Form 10-K. During this call, I may also discuss the non-GAAP financial measures included in our earnings release. The earnings release, which can be found on our website, includes a reconciliation of the non-GAAP financial measures to the comparable GAAP financial measures. We filed our 10-Q this morning. It contains significantly more details on the operations and performance of our company. Please take time to review it. I will be reviewing – referring to the data that was included in last night’s earnings release. Net income was $111 million or $11.60 a share compared to net income of $63 million or $6.32 a share for the third quarter last year. Petroleum additives sales for the third quarter of 2023 were $664 million compared to $693 million for the same period in 2022. Petroleum additives operating profit for the quarter was $140 million, which is higher than the third quarter operating profit last year of $83 million. The operating profit increase was mainly due to selling prices, including favorable mix as well as lower raw material costs, partially offset by lower shipments and higher operating costs. Shipments between quarterly periods were down 8%, with decreases in both lubricant additive and fuel additive shipments. When comparing the third quarter of 2023 to the same period in 2022, lubricant additive shipments were down in all regions except North America, while all regions except Europe reported decreases in fuel additive shipments. Our shipments have been impacted the last several quarters by the overall global economic weakness and inventory rationalization that is affecting the chemical industry. We continue to be challenged by the inflationary environment impacting us, including our raw material and operating costs. During this period, we have remained focused on controlling our operating costs, continuing our investment in technology and managing our inventory levels as well as our customer portfolio. Overall, we are very pleased with the strong performance of our petroleum additives business during the third quarter of 2023. We generated solid cash flows during the quarter and continue to operate with low leverage. Our working capital improved by $19 million, we paid dividends of $22 million and we made payments of $137 million on our revolving credit facility. Our net debt-to-EBITDA was 1.1x as of September 30, 2023, a significant improvement over our 2x we reported at the end of 2022. We remain focused on the long-term success of our company, including emphasis on satisfying customer needs, generating solid operating results and promoting the greatest long-term value for our shareholders, customers and employees. We believe the fundamentals of how we run our business, a long-term view, safety and people first culture, customer-focused solutions, technology-driven product offerings and a world-class supply chain capability will continue to be beneficial for all our stakeholders. Thank you for joining me for the call today. We appreciate your support. Kelly, that concludes our planned comments. We are available for questions via e-mail or by phone. So please feel free to contact me directly. Thank you all again and we will talk to you next quarter.
Operator: Thank you. This does conclude today’s conference call. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.